Operator: Good afternoon everyone and welcome to the First Solar’s First Quarter 2013 Earnings Call. This call is being webcast live on the Investors' section of First Solar's website at firstsolar.com. At this time, all participants are in a listen-only mode. As a reminder, today's call is being recorded. I would now like to turn the call over to David Brady, Vice President of Treasury and Investor Relations for First Solar Incorporated. Mr. Brady, you may begin.
David Brady: Thank you. Good afternoon, everyone, and thank you for joining us. Today the Company issued a press release announcing its financial results for the first quarter. A copy of the press release and the presentation are available on the Investors' section of First Solar's website at firstsolar.com. With me today are Jim Hughes, Chief Executive Officer and Mark Widmar, Chief Financial Officer. Jim will provide a review of our project pipeline and bookings year-to-date and then Mark will discuss our first quarter results. We will then open up the call for questions. Most of the financial numbers reported and discussed on today's call are based on U.S. Generally Accepted Accounting Principles, in a few cases where we report non-GAAP measures, we have provided reconciliations to GAAP equivalents at the back of our presentation. Please note that during the course of this call, the Company will make projections and other comments that are forward-looking statements within the meaning of the Federal Securities laws. The forward-looking statements in this call are based on current information and expectations and are subject to uncertainties and changes in circumstances, and do not constitute guarantees of future performance. Those statements involve a number of factors that could cause actual results to differ materially from those statements, including the risks as described in the Company's most recent Annual Report on Form 10-K and other filings with the Securities and Exchange Commission. First Solar assumes no obligation to update any forward-looking information contained in this call or with respect to the announcements described herein. It is now my pleasure to introduce Jim Hughes, Chief Executive Officer. Jim?
Jim Hughes: Thanks David. First off I would like to thank everyone who attended our Analyst Day last month be it in person or via webcast. We appreciated the opportunity to share with you our outlook for the company and the industry at large and particularly the tremendous response the event received. We plan to repeat the process periodically when we have information that justifies the required time and resources. Now turning to our book to bill performance in Q1, slide four shows the total anticipated demand in the change in that demand that occurred during the quarter. This data represents our total business which includes a relatively small percentage of third party module sales in addition to our advance systems project pipeline. We have booked an additional 328 megawatts of demand year-to-date including Solar Gen 2, Macho Springs and NorthStar. Shipments in Q1 were slightly higher than these new bookings for an ending balance of 2.5 gigawatts DC of future demand. However on slide five based on first quarter revenue figures and bookings year-to-date we achieved a one to one book to bill ratio due in part to a higher proportion of system sales in the future revenue booked compared to that recorded. In the near term we have good visibility to maintaining this ratio which specific potential opportunities that we are currently working to close by Q4 which would result in booking higher than one-to-one for the year. Slide 6 turning to future demand opportunities we announced on the Analyst Day that we have approximately 4 gigawatts DC of potential bookings this year alone. This figure excluded project development activities, including much of the Solar Chile pipeline, which when added brings the total to 5.5 gigawatts DC. You can see the breakdown on slide 6 based on each prospective bookings’ current stage of completion. This also includes approximately 200 megawatts of module-only sales. We have over 700 megawatts of mid and life-stage deals with a moderate-to-high probability of success. The largest portion about 4.8 gigawatts is early stage, which means that the majority of these projects will have the development cycle of 12 to 24 months and consist primarily of our own captive project assets, such as Solar Chile. This reflects the fact that we have lower demand requirements in the short-term and that we are focusing on replenishing our pipeline primarily in 2014 and beyond. As a matter of fact, we are sold out until late Q3 of this year. Slide 7 shows the breakdown of demand by geography with a large portion of it continuing to come from North America, but an increasing portion from the sustainable markets that we are targeting. This is a tremendous improvement upon this time a year ago when our bookings outside the U.S. were restricted to Canada, India, Europe, and Australia. Now, South America is 1.8 gigawatts and the Middle East, China, and Asia-Pacific account for an additional 1.3 gigawatts combined. We are also working on sizable opportunities in North and Sub-Saharan Africa. This is perhaps the best illustration of the progress that we are making and creating demand and sustainable markets today, and gives us confidence in our ability to replenish our pipeline going out to 2015 and beyond. With this in mind and included in the aforementioned 5.5 gigawatts, I am delighted to announce that we have executed an MOU with the Ordos Municipal People’s City government for Phase 2 of that project which amounts to 300 to 500 megawatts (inaudible) of capacity. The pre-feasibility study of Phase 2 is already underway. Our target is to secure project approval of Phase 2 and commence construction during the second half of 2014. In addition, regarding the Phase 1 demonstration plant which is 30 megawatts in size, construction is planned to commence in the third quarter of this year pending the receipt of all regulatory approvals. This is further evidence of the tangible progress we are making in China, one of the largest sustainable markets going forward. In summary, our anticipated demand to which we have good visibility gives us the solid foundation to weather the current challenges facing the industry and our pipeline of potential bookings gives us confidence in our ability to replenish our pipeline for the foreseeable future. Now, I will turn it over to Mark, who will provide detail on our Q1 financial results.
Mark Widmar: Thanks Jim and good afternoon. Turning to slide 9, I will begin by highlights the first quarter operational performance. In Q1, our production was 370 megawatts, which excluded our German plant, was down approximately 11% sequentially and down 6% year-over-year, decreases reflected with a planned reductions to align supply and demand and accelerate efforts to upgrade production lines, which is expected to enhance the achievement of near-term targets on our module cost and efficiency improvement roadmaps. In the first quarter, we ran our factories at approximately 75% capacity utilization, down 9 percentage points from the prior quarter and down 10 percentage points compared to the first quarter of 2012. Our module manufacturing costs per watt for the first quarter was $0.69. On a comparable basis, the cost per watt increased $0.01 quarter-over-quarter due to lower utilization, which was partially offset by improvements in efficiency and core manufacturing cost. Excluding the impact of under-utilization, our core manufacturing cost per watt fell to $0.64, a $0.03 improvement compared to the prior quarter. During Q1, our best plant manufacturing costs at full utilization decreased to $0.62 per watt. Conversion efficiency for the quarter was up only slightly compared to prior quarters as we are in the progress of making and testing live upgrades and consequently, the full impact of these improvements has not yet been reflected in our entire fleet manufacturing lines. As a point of reference to emphasize this, our best line is currently running 13.3% efficiency versus the Q1 average of 12.9%. Moreover, it’s noted during the Analyst Day, the nature of our efficiency improvement programs are non-linear and rather modular nature. For example, during this year as part of our communicative efficiency improvement roadmap we’re rolling out two major efficiency improvement programs. The first was commenced in Q1 as is expected to be completed in August and then the second program will commence in the second half of this year as is expected to be completed by the first half of 2014. The impact of the first program is expected to move our current best line efficiency of 13.3% to the fleet average efficiency by August. In Q3 we expect to complete and install the qualification of our first high volume tool on our lead line which will enable our new improved contact manufacturing process which is expected to increase our lead line efficiency to approximately 14% by year end. Now moving to the P&L portion of the presentation on slide 10, first quarter net sales were 755 million compared to 1.1 billion in the prior quarter. On a year-over-year basis net sales increased 52%. The sequential decrease in net sales was primarily driven by lower revenue for Topaz and AVSR which was adversely impacted by weather related construction delays in Q1 while the increase over the first quarter of 2012 was primarily due to higher sales volume and revenue recognition for both systems project and third party module sales. As a percentage of total net sales our solar power systems which include both our EPC revenue and solar modules used in the systems project decreased from 87% of total net sales in the prior quarter to 74% of the first quarter. The sequential mix shift in net sales was primarily driven by higher module only sales including a 128 megawatt AC of module volume used in the construction of the largest thin-film Photovoltaic power plant in Europe. Gross margin in the first quarter was 22.4% down from 27.3% in the prior quarter. The gross margin decline reflected with the following factors, higher portion of project margin mix, percentage coming from Topaz in the fourth quarter of 2012, temporary construction delays at AVSR, higher mix of third party module sales and lower manufacturing utilization as we accelerate efforts to upgrade production line. Additionally the prior quarter benefited from a credit related to lower estimate of future collection and recycling cost. When compared to the guidance range we provided, first quarter gross margin was slightly below the low end of our range primarily due to temporary construction delays we experienced at AVSR and due to lower utilization and throughput at our plants. Regarding the delay at AVSR we are working collaboratively with the LA County and the Antelope Valley Air Quality Management District and have reached a resolution related to dust conditions at the site; we remain on track to complete the project on time according to the guaranteed commercial operation date. The temporary delay did not materially impact our annual guidance forecast, however we now anticipate completion of AVSR in the fourth quarter versus our previous second quarter expectation. The schedule change resulted in an increase in the projects estimated cost to complete which under a percentage of completion accounting we recognize the material portion of the additional cost in the first quarter as the project is approximately 80% complete. Regarding factory utilization when we set the guidance range in February we were still evaluating a level 1 timing of production upgrades which drove in part the relatively large guidance range. Consequently we are in progress - as we progress through the quarter we decided to accelerate the aforementioned production line upgrades in the quarter which led to higher underutilization charges in the quarter when compared to the original guidance assumptions. Now continuing on Q1, operating expenses including restructuring, decreased 13 million quarter-over-quarter to a 108 million and it reflected lower restructuring charges partially offset by higher project development expenses. The first quarter was also negatively impacted by project acquisition and (inaudible) transaction related expenses. Finally the fourth quarter benefited from a credit related to the change in estimate of future collection or recycling cost. Consisting with our safe strategy we will continue to focus on lowering general and administrative expenses in order to prioritize and in turn fund R&D in sales and marketing activities, facilitate market enable and growth. To that end management has improved a reduction in force (ph) anticipated to be rolled out over the next couple of weeks which will completed as expected to result in annual labor saving of approximately $30 million. These savings are expected to reduce both cost of sales and selling and general and administrative expenses in approximately equal amounts. As far as the reduction in force First Solar will reduce its work force primarily in North America by approximately 150 associates. On reported basis, first quarter operating income was 61 million compared to operating income of $172 million in the fourth quarter. The decrease was primarily reflective of lower revenue and gross margin as just described partially offset by lower restructuring charges. Excluding restructuring, Q1 operating income was $64 million compared to $197 million in the prior quarter. Looking at net income, first quarter GAAP net income was $59 million or $0.66 per fully diluted share, including $0.03 of restructuring compared to $1.74 per fully diluted share in the fourth quarter. Excluding the restructuring charges of $0.03, our Q1 non-GAAP earnings per fully diluted share was $0.69. Turning to slide 11, I will review the balance sheet and cash flow summary. We maintain the cash and marketable securities balance of just over $1 billion. Accounts receivable trade balance decreased by 50% or $275 million quarter-over-quarter to $279 million and it’s primarily due to the collection of the module sale for the 128 megawatt AC European project and collections related to several of our systems project. Unbilled accounts receivable decreased by $79 million primarily due to the Agua Caliente retainage fee and reclassified from non-current to current, and was partially offset by a decrease in AVSR now behind unbilled balances. Inventories, including balance of system parts decreased $10 million sequentially due to higher third-party module sales and greater installation of modules and the systems business and lower production volume. Project assets increased by $190 million primarily due to project acquisitions including Solar Gen 2 and due to the increased construction activities on our portfolio of systems projects. Deferred project costs increased by $135 million principally due to the continued ramp of construction on Desert Sunlight. To-date, we have not recognized any revenue on Desert Sunlight. However, as disclosed during our Analyst Day event, we currently anticipate revenue recognition criteria and our GAAP to be met initially in 2013 and to begin recognizing revenue for Desert Sunlight project over the second half of 2013 through the 2014 timeframe. First Solar expects substantial completion of the project to occur by the end of 2014. We also have approximately $189 million of non-current retainage which decreased sequentially by $82 million as the retainage for Agua Caliente project was reclassified to current during the quarter as we will complete this project within the next 12 months. Know it as a reminder, retainage represents a portion of the systems project contract earned by us for work performed, that help our payments by customers as a form of security until we reach certain construction milestones. Such retainage amounts relate to construction work already performed. Quarter-over-quarter, total debt remained essentially flat at $562 million. Operating cash flow for the quarter was $66 million and free cash flow was $20 million. Capital expenditure totaled approximately $72 million for the quarter and were primarily related to production upgrades in which we are expected to increase audit efficiency and throughput. Depreciation for the quarter was $58 million compared to $61 million last quarter. Now, moving to slide 12 on guidance, this slide just look familiar to everyone as it was provided just a few short weeks ago at our 2013 Analyst Day event. As the slide reflects, we are maintaining our full year 2013 guidance, which now includes the expected impact of today’s announced reduction and force initiative, as well as expected incremental operating expense of approximately $8 million including $2 million of non-cash purchase price accounting amortizations related to the completed TetraSun acquisition. Regarding the impact of the reduction-in-force as mentioned, we expect the labor based savings on an annual basis to be approximately $30 million, of which we expect to realize up to half of this on the current year. These savings, however, are essentially offset by the severance-related cost of the reduction-in-force and the increased operating expenses related to TetraSun. Though effectively, the current year benefit of the reduction-in-force is offset by the severance-related cost and incremental expenses associated with TetraSun. However, on an annualized basis, excluding severance costs, the reduction-in-force net of the TetraSun cost will lower our cost structure by approximately $20 million. During the Analyst Day, you will recall that we reverted back to our normal business practice by providing only full year financial guidance. I reminded you the lumpy nature of the project business, which can result in a wide range of quarterly profile of earnings. Previously, we indicated that we expect the first half results to be stronger than the second half results and further the Q2 results will be stronger than Q1. However, since February, we updated guidance during the Analyst Day which fundamentally changed that profile due to the change in assumptions for Desert Sunlight. Additionally due to the temporary delays in AVSR and the potential push-out of the recognition of ABW and the added reduction in four severance cost anticipated in the second quarter. The quarterly earnings profile for the year progressed differently than previously communicated. On the second half of the year it's expected to be materially higher than the first half. Specific to the second quarter we are finalizing the sale of ABW, if these projects close in the second quarter the results will be relatively flat sequentially. If the close moves to Q3 we will see a sequential decline. So we report thing to stay focus on in the full year guidance as we believe this is the best indicator of our performance. Regarding all other assumptions under our guidance they remain unchanged at this time. Now moving to slide 13 I would like to summarize the quarter, as Jim noted earlier we continue to show progress in developing our strategy in new sustainable markets and are focused on increasing our book to bill ratio. We continue to strengthen our balance sheet and resulting bankability with the intent of developing a well-balanced foundation that insures our customers have a reliable, long term solar PV solution provider. We remain on track for the year and maintain our outlook and our focus on executing to our roadmap and strategic comparative outlined during the April Analyst Day even. With this we conclude our prepared remarks and open the call for questions. Operator?
Operator: (Operator Instructions). And we will take our first question from Satya Kumar with Credit Suisse.
Satya Kumar - Credit Suisse: I guess a question on the pipeline and the profits on the margins of new business, I think you had said earlier on that the new potential bookings will be replenished mostly in 2014 but you also re-graded a 1:1 book to bill. So I was wondering if the rest of the bookings for the sale predominantly comes from purchase versus own developed projects that convert and if I look at the guidance that you gave at the Analyst Day for the Implied ASPs on the non-contracted systems most of us in the street are coming up with a number that’s fairly low around the $1.35 a watt. So I was wondering if you could also talk a bit about the profit margins on the newly booked business so we have a sense of that. Thanks.
Mark Widmar: In terms of the implied guidance on ASP that’s a difficult number to back into - what I would prefer you to stay focus on is what we indicated on the in the Analyst Day is we’re driving towards a system roadmap that ultimately drives down to a (inaudible) installed system cost of around a $1 and we believe that the market clearing prices will be somewhere in that range as we indicated previously about a $1.42 to a $1.60 depending on market, depending on radiance and other factors. So when you take that installed cost of around a $1 include the non-standard and you model it on ASP and that $1.40 to $1.60 it models back to the gross margin numbers that we have been communicating for a while now that we believe on a sustainable basis we’ll achieve gross margins in the range of 15% to 20%.
Jim Hughes: On the composition of the pipeline I didn’t completely understand the question, Satya would you mind repeating the first half?
Operator: And we will now take our next question from Brian Lee with Goldman Sachs.
Brian Lee - Goldman Sachs: I was wondering could you quickly provide some more color on the exact timing of the AVSR construction device, just how much of the quarter it did impact and if you’re able to quantify the loss of volume in the quarter relative to your original expectations and then I had a quick follow-up.
Mark Widmar: We were during the quarter AVSR really impacted us starting really have been continued through most of the quarter and I would say the impact was heavier as we exited the quarter then when we began the quarter. So it's feathered throughout the quarter, it impacted revenue by a material amount specific to that project and aggregate relative to our guidance that you saw we achieved the revenue guidance so it didn’t have a dramatic impact from that perspective but we have been struggling with that for a period of time and as a result of that plus the corrective actions that we now have to undertake, we move the anticipated completion date from the end of Q2 into the Q4 timeframe. So, lot of work still to be done. We will complete the project on time. It has resulted in incremental cost and the one point I was trying to make in the script was that because of the accounting methodology that we used on percentage completion, any cost overrun essentially you have to recognize a certain percentage of that relative to how much of the contract is complete at that point in time. So, if you have a throw out a number a $10 million cost overrun if the project is 80% complete, you will recognize that in the current quarter. So, we did have an impact on earnings more so than revenue in the current quarter, but from a full year perspective, we will maintain the guidance that cover any of the additional cost overruns associated with AVSR.
Brian Lee - Goldman Sachs: It look like your deal moving lower by year end, how should we think about the cadence now given Desert Sunlight recognition in the back half and also with Q1 starting more in the low 20s? Thank you.
Jim Hughes: Yeah, we missed the first half of your question, I don’t know the rest of the call could you repeat it?
Brian Lee - Goldman Sachs: Yes, because the prior guidance imply, you guys would be somewhere in the mid 20s for Q1 and then moving lower by year end to hit that 20% to 22% range for the full year, but how should we be thinking about the cadence now that you have the Desert Sunlight recognition in the back half and also with Q1 having started more in the low 20s here?
Mark Widmar: Yes. So, as we indicated look with the impact of Desert Sunlight now and impact in the second half of the year, you will see stronger revenue in the second half than you will in the first half. And as you will see the gross margin trends accordingly, so you will see a little bit stronger gross margin through the second half of the year than you will have seen in the first half of the year.
Brian Lee - Goldman Sachs: Okay, thanks.
Operator: And we will now take our next question from Sanjay Shrestha with Lazard Capital Markets.
Sanjay Shrestha - Lazard Capital Markets: Great, thank you. Good afternoon guys. My first question right, I guess it is to you Jim, when I look at this pie in slide six, right the early stage sort of total 5.5 gigawatt given the change that the industry has gone through, who are you guys mostly competing against during the bidding process and what are the plus and minuses that the end buyers of the projects are talking about you guys versus the competition that they see out in the market, and I have one follow-up?
Jim Hughes: It’s very difficult to generalize who we are competing against. That varies quite dramatically from market-to-market, but the sort of compelling value proposition that seems to be the winning combination, no matter who the competition is, is the combination of track record, balance sheet, and bankability. And so it is customers that either have a quality bias or projects that have a need for project financing and accordingly need a technology solution and/or an EPC provider that have track record and clear bankability is where we consistently seem to have the strongest competitive advantage. The set of competitors in the U.S is one set. The set of competitors in Chile is different. The competitors in India are different. The competitors in Australia are different. So, it’s – we can’t generalize across all of the markets, but the consistent competitive advantage seems to be those factors that I have outlined.
Sanjay Shrestha - Lazard Capital Markets: Got it. One follow-up on that, then right, so I am looking at the pie here about North America, which actually does make up a pretty big chunk of that 5.5 gigawatt loans to Latin America, and the school of thought is that the large scale projects in North America are behind us and mostly it’s the smaller 10 to 20 megawatt kind of a project, is that what makes up that pie or how should we think about that in terms of all the opportunity set that you are sort of going after in North America, here?
Jim Hughes: I think that the large size project in North America while there has been a continued trend downward there hasn’t been a complete elimination of large projects. And when we look through the 2014, 2015, 2016 timeframe, there is still a fair number of large projects that are in that pipeline, as well as we have put a lot of time and effort into increasing our competitiveness on the smaller end of the scale which has allowed us to fill or book a number of projects in that smaller size scale. So, it’s a combination of those two factors that really make up that slice of the pie as you look at it.
Sanjay Shrestha - Lazard Capital Markets: Okay, that’s all I have. Thank you so much guys.
Operator: And we will now go to Shahriar Pourreza with Citigroup.
Shahriar Pourreza - Citigroup: Just most of my questions have been answered; just two questions on the pie which is slide seven. Is there a status on the Chilean projects the 1.5 gigawatts?
Jim Hughes: When we consummated that acquisition we identified all of that portfolio as being in the early to mid-stage which means they are in the sort of 12 to 24 months timeframe, so they have some degree of permitting ahead of them as well as power purchase agreement negotiations ahead of them. So we don’t see them being a near term contributor in 2013, we would hope that we begin to convert some of those opportunities to bookings as we move forward into 2014.
Shahriar Pourreza - Citi Group: And then just shifting to North America real quick, are you seeing - how many stranded projects out there that you guys can go ahead and purchase from developer that just can’t complete?
Jim Hughes: We see a steady diet of those types of opportunities, yes.
Shahriar Pourreza - Citi Group: Okay, it's focused more on California or are you seeing it all over?
Jim Hughes: There is a fair number in California but to be honest we’re seeing it throughout the South-Western region.
Shahriar Pourreza - Citi Group: Perfect, and then just one last question on the Middle-East so are we making any traction in Saudi Arabia or any more in Qatar, or Abu Dhabi?
Jim Hughes: We have lots of people on the ground; we’re building out our organization. We have a significant number of opportunities that we are pursuing at this point in time; it's that market is a certainty in terms of it will be a large and significant market. I have consistently said that timing is less certain. Many of the authorities that will kick off those programs are very deliberative in their decision making, highly technical in their decision making so we feel like we’re making good progress but it's I don’t want to create too much anticipation, that’s something imminent; it will build slowly over time.
Operator: And we will now take our next question from Scott Reynolds with Jefferies.
Scott Reynolds – Jefferies: Now the first part of that if I remember correctly Phase I was under a Memorandum of Understanding on module sale, is that what Phase II is moving towards? And also can you talk a little bit about pricing on that project relative to some of your North America projects.
Jim Hughes: Well we haven’t disclosed or discussed any specific pricing on projects and that’s not something we do. The Phase II is in the pre-feasibility study phase. The key sort of regulatory event and the Chinese process is approval on your feasibility study. So we have got sort of two major regulatory steps ahead of us whereas the initial 30 megawatt phase is through those. So, we’re now into the heart of central approval process and that is the key focus. Once you have that approval under the Chinese system and that entitles you to a PPA in there. So those negotiations are rather pro forma once you have your central governmental approval.
Scott Reynolds – Jefferies: And now would you expect as you move to through Phase II where we get minus side on the 870 megawatts for Phase II sooner rather than later.
Jim Hughes: I think it's difficult for us to commit to or give much guidance on when we will get this loaded that. We’re focused on the approval for Phase II and we will start thinking about moving Phase III forward once we have visibility into that final approval.
Operator: And we will now go to Stephen Chin with UBS.
Stephen Chin – UBS: Jim on the 5.5 gigawatt pipeline that you shared and you have also shared a long term gross margin goal of 15% to 20%, can you give us some color on what profitability are you seeing on this pipeline, is it higher than what your long term goal is and then as a follow-up question can you give us some sense of what percentage of this pipeline do you expect to convert into your bookings. Thank you.
Jim Hughes: I don’t think we can give you any sense on what percentage we expect to convert into bookings, its future opportunities; it’s not really capable of that kind of analysis, certainly not at this stage. In terms of profitability, we don’t have visibility to profitability on the entire 5.5 gigawatts. Some of it’s not mature enough that you could take a look at it. I did say at the Analyst Day event, we are seeing pricing activity in our negotiations, particularly in the 2015-2016 timeframe that validates the margin expectations that underlie kind of our guidance in our business plan. So, I think broadly we are seeing a mix of pricing across our product line that averages to the kind of numbers we have guided the investors to.
Stephen Chin - UBS: Thank you.
Operator: (Operator Instructions) And we will take our next question from Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank: Yeah, hi, thanks for taking my question. Jim, I just wanted to clarify the slides, you have mentioned 5.5 gigawatts of bookings opportunity and then there is also some mentioned of 3.1 gigawatts of advanced pipeline, so I just wanted to clarify if those are two different sets of numbers?
Jim Hughes: Yeah, so 3.1 is reflective of our pipeline than its book. The 5.5 is actually new bookings opportunity, so if you think about the way we look at that 5.5, that’s our funnel of opportunities that were going to that we have that effectively sets us up to address the non-contracted portion of our business that we highlighted in the Analyst Day. If you remember what we try to do between ‘13, ‘14 and ‘15, we gave you the profile of what was contracted which essentially relates to that pre-component line. And then we gave you non-contracted business, and this is really what the opportunities that we have today. There is 5.5 gigawatts of opportunities that fill in against that non-contracted pipeline or non-contracted business over the long range plan that we gave you through ‘15. And what I would say is that relative to booking that business with the pipeline of the funnel that we have right now, where we are pretty happy with the position that we have. We like the diversity of the pipeline and we like the aggregate size of the pipeline relative to filling in that non-contracted business that we need over ‘14 to ‘15.
Vishal Shah - Deutsche Bank: So, just with respect to your comments on bookings, our book-to-bill of 1.1 or greater than 1.1 for this year, if 4.8 gigawatts of pipeline is early stage, I mean, is the assumption that you are going to do some more acquisitions to hedge your book to bill target of greater than 1.1 for 2013?
Mark Widmar: Yeah. So, again you got to remember there is 700 or so megawatts that laid today’s development. We really need very little volume as Jim indicated in his comments we are effectively sold out through the end of Q3. So, we don’t need a lot of volume to fill in this year, it’s really filling in for next year. And that’s a 12-month rolling horizon, so if you really look at it, that carries you into the first quarter of next year of the 700 megawatts. And then beyond that, we have for then we will start getting into that 4.8 or so gigawatts of opportunities that start to fill in ‘14. So, well everything we see right now are level of comfort of building are delivered against the one-to-one or greater book-to-bill ratio, we feel very confident with what the aggregate funnel is at this point in time.
Operator: And we will take our next question from Ben Schuman with Pacific Crest Securities.
Ben Schuman - Pacific Crest Securities: Hi, thanks for taking the question. I guess, what are some key upcoming proof points and then your sustainable market in terms of major project awards or national level tenders in specific geographies that we can be watching over the next few quarters to make sure that the strategy is really on track in terms of bookings rather than early to mid-stage pipeline?
Jim Hughes: I think frankly, that’s the opportunity set that’s grown to a level of robustness that there is not one particular project or process that I would point to. I think it’s just look at that we are steadily making progress toward that goal on a quarter-by-quarter basis from the broad portfolio. We think we will get contributions from across all of the geographies and contributions across all of the product lines. And there is very few single projects that we’re pointing to, there are couple with North America that are of significant size but most of it is pretty broadly distributed and we feel like we have, we’re not counting on 100% hit rate against the opportunities that they were chasing. So we don’t really, I don’t really have specific wins but I can say that’s the critical one.
Ben Schuman - Pacific Crest Securities: Okay thanks and then quickly in China how do you guys think about payment terms and credit worthiness for your customer there, we have heard some pretty rough terms for the local vendors and how do you I guess make yourself immune from that type of thing.
Jim Hughes: You can’t make yourself immune from local conditions; however I have been developing power assets in the Chinese environments since the early 90s. You sometimes end up with the delay issues but there have not been broad credit worthiness issues from the Chinese power grids to the extent you have been prudent in getting appropriate approvals then you have not done anything, you have not overlooked any steps in your development process getting paid has not been a significant issue in the Chinese environment. Curtailment is much more than an issue and our effort is to make sure that we structure our the projects that we’re handing the project over to a long term equity owner that can manage those risks. We’re not going to get out over our skis (ph) in the Chinese market with respect to payment terms.
Mark Widmar: If you look at it in general relative to our ability to manage credit risk I think we have done a much better job than most of our competitors, we will also in any particular market require LCs or other forms of security to ensure we will ultimately pay and we have always trying to do business directly with the thinly capitalized DPC provider and try to do business on directly with the Genco or the off-taker or hold security in the asset to protect our interest. So I would say we are aware of the challenges but I think our track record indicates we have managed that risk pretty well.
Operator: And we will now take our next question from Chris Kovacs with Robert Baird.
Chris Kovacs - Robert Baird: Just wanted to dig a little bit into the cost cutting initiative that you spoke about, is that all going to happen in Q2 and then can you may be comment on where the headcount reductions are currently in terms of employee function.
Jim Hughes: I will take the head count question and I will let Mark address the other. In terms of where it's becoming the focus for this has been on I would say the administrative side of the organization. There have been modest reductions on the R&D side but not significant, there has not been a lot of reduction on the business development or sales side. It has mainly been on instance – the core administrative functions where we have tried to write-size the administrative portion of the organization to match the smaller size of the company, there has been a little bit in manufacturing. So it's been fairly, it's fairly broad.
Mark Widmar: And these action should be all communicated I would say 99% of all the actions will be communicated in the second quarter people will be off roll and will take the charge for the associated severance in the second quarter.
Chris Kovacs - Robert Baird: Okay and then just you talked about a project its featuring resulting incident on a project close.
Jim Hughes: I’m sorry we didn’t catch that, can you say that one more time? Sorry we didn’t catch the question.
Chris Kovacs - Robert Baird: I think you mentioned that future results could be down from Q1 sort of implying you’re going to close, what was the project?
Jim Hughes: We have three assets up in Canada which we referred to as ABW which is Amherstburg, Belmont, Walpole. So we’re in the process of finalizing that transaction and given the current negotiations there is a chance that may not happen within the quarter. We’re just trying to give you some indication around the magnitude of those three projects are for the second quarter. If they do happen in close we will then have a relatively flat earnings for the quarter, if not we will see earnings decline slightly.
Operator: And we will take our next question from Colin Rusch with Northland Capital Markets.
Colin Rusch - Northland Capital Markets: Can you talk exactly what the expenses are for AVSR and what you have to pay for each of the line items?
Jim Hughes: With the expenses for AVSR?
Mark Widmar: Yes, so I mean…
Colin Rusch - Northland Capital Markets: Yes, the mitigation expenses with the settlements?
Mark Widmar: Yes, we are not going to get into that level of detail, I mean, look there is various things that will impact – well the actions that we need to take and schedule the impacted and as a result of that, there is some additional cost that will be reflected in the estimates to complete for that project, but we are not going to get into the details on the items.
Colin Rusch - Northland Capital Markets: And then second question is just on the Middle East pipeline that you are talking about, I guess, it seems like a relatively small number that you are quoting their relative to what the opportunities are that we are hearing, is there a filter on that on things that you don’t think are going to hit in the next two years or how should we think about that number?
Jim Hughes: Well, most of the large opportunities you are talking about have they been talked about and they have been reflected in whitepapers, but they are not part of an official yet. And so as much we would not include them in a visible bookings projection until such time as they became part of an official program. So, we think that over the next year to 18 months, we will see the contribution and the potential from Middle East grow quite significantly. Most of the large programs which you are likely referring to are not reflected in that current number, because they are not yet official programs.
Operator: And we will now take our next question from Rob Stone with Cowen & Company.
Rob Stone - Cowen & Company: Hi guys. I wonder if you could just take another minute on the linearity of operating expenses with the puts and takes of the risk that severance and so forth, how we should think about holding into your 3 to 400 guidance? Thanks.
Mark Widmar: So, the benefit of the reduction-in-force will happen in the second half of the year. So, I think the (inaudible) of the associates will go out this month, some will actually stay on role till the end of June. So, we won’t have any real benefit in the second quarter, but they are going to call it $15 million or so of benefit flowing through in the second half and pretty evenly split between the two quarters. And as I indicated as well we are going to have a charge in the second quarter in the range of $6 million, $7 million that will impact the second quarter as well. So, we see the charge and then you will see the associated benefit equally over the third and fourth quarter of the year.
Operator: And we will take our final question from Stephen Simko with Morningstar Equity Research.
Stephen Simko - Morningstar Equity Research: Hi, good afternoon guys. I only had one brief question and that was regarding the TetraSun acquisition, when it was talked about at the Analyst Day, I only remember it being discussed about in terms of the market opportunity in Japan and I just wondered if as that potentially becomes commercial scale in 2014 or in the back half of 2014, if there are other markets you are thinking about that could be penetrated or targeted meaningfully and relatively quickly after – there after Japan? Thanks.
Jim Hughes: There is certainly no shortage of markets that we could think about or talk about in terms of being suitable for the TetraSun product. The reality is that within certainly the 2014 and 2015 kind of timeframe assuming even a fairly aggressive ramp of production, even modest success in the Japanese market would consume almost all of the available production. So, while there is lots to talk about, I think we are constrained by the reality in ramping that production. And so Japan will likely be the focus. I do think we will move some of that product to begin to capture opportunities in new markets, but I think it will likely flow into last half of ‘15, 2016 and beyond before we can have aggregate production out of points, where we would be looking out for significant volumes outside of the Japanese market.
Operator: That concludes today’s question-and-answer session. At this time, I would like to turn the conference back over to today’s speakers for any additional or closing remarks.
Jim Hughes: We would like to thank everybody. We again appreciate your time and attention. And we look forward to speaking to you in the second quarter, I mean in third quarter.
Operator: Ladies and gentlemen, this concludes today’s conference. We thank you for your participation.